Operator: Good morning. My name is (Mary) and I will be your conference operator today. At this time, I would like to welcome everyone to the Pzena Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to Mr. Greg Martin. Sir, you may begin.
Greg Martin: Thank you very much. Good morning I’m Greg Martin, Chief Financial Officer of Pzena Investment Management. And I’d like to take this opportunity to welcome you all and thank you for joining us on our second quarter 2010 earnings conference call. With me on the call is our Chief Executive Officer and Co-Chief Investment Officer, Rich Pzena. Our earnings press release contains the financial tables for the periods to be discussed. If you don’t have a copy, it can be obtained on their website at www.pzena.com in the Investor Relations section. Replays of this call will be available for the next week on our website. Before we begin, I would like to reference the standard legal disclaimer. Statements made in the presentation today may contain forward-looking information about management plans, projections, expectations, strategic objectives, business prospects, anticipated financial results and other similar matters. A variety of factors, many of which are beyond the company’s control affect the operations, performance, business strategy and results of the company and can cause actual results and experiences to differ materially from the expectations or objectives expressed in these statements. These factors include but are not limited to the factors described in the company’s reports filed with the SEC, which are available on our website and on the SEC’s website at www.sec.gov. Investors are cautioned not to place undue reliance on forward-looking statements which speaks only as the date on which the statements are made. The company does not undertake to update such statements to reflect the impact of circumstances or events that are raised after the dates these statements were made. Investors should however, consult any further disclosures the company made in the report filed with the SEC. In addition please be advised that because of the prohibitions on selective disclosures, the company as a matter of policy does not disclose material that is not public information on their conference calls. If one of your questions requires the disclosure of material non-public information we will not be able to respond to it. Thank you. For the second quarter of 2010 we reported revenues of $19.4 million, operating income of $10 million, non-GAAP diluted net income of $5.0 million and non-GAAP diluted net income per share of $0.08. During the quarter we repaid remainder of our outstanding senior subordinated notes leaving us debt free. We also declared a quarterly dividend of $0.03 per share. I’ll review our financial results in greater detail in a few minutes. First, I’d like to turn the call over to Rich Pzena, who will discuss our view of the investing environment and how we’re positioned relative to it.
Rich Pzena: Thanks Greg. Looking at the first half of 2010, one would think the world must be on some strange kind of emotional roller coaster. As we move through the second quarter, fear took over from greed again. Investors around the world became obsessed by headlines of European debt and currency crisis, economic slowdown and new financial regulations. All of these fears led to a broad decline in world equity markets as witness by a 12.7% decline in the MSCI world index and a flight from risk assets. The real question though is do these fears have any real impact on the long-term profitability of commercial business enterprises or are they simply a giant price discount that investor should pounce on. I’m sure you can guess our view. The one constant fact that seems to be perennially ignored by investors is that companies are run by people and the people react to changing economic situations. If there is inflation, they manage for inflation, if there is economic slowdown, they manage for economic slowdown. And although unanticipated changes in economic factors can cause an earnings dislocation, it is rare that fully anticipated changes will cause a problem. The current economic sluggishness has been widely and universally anticipated. Accordingly, companies are prepared. Operating margins and earnings are at or near record levels despite revenues which are significantly below recent peaks. Corporate leverage is below normal with many companies cash-rich and valuations are compelling. History tells us that companies can manage through almost any economic situation as long as they don’t have too much financial leverage and funding risk. Over the course of the last 50 years, the return on equity for the S&P 500 has fluctuated around a very flat trend line. Companies have averaged a 13.5% ROE during economic booms and economic buffs, during high inflation and low inflation, during high tax environments and low tax environments, during high interest rates and low interest rates. There is certainly no reason to believe that they won’t do it again. So the increase in volatility from this uncertainty has once again created a compelling opportunity for the value investor. As is usually the case, this opportunity is coming exactly on most investment committees and boards are demanding that the portfolios they oversee be structured to avoid another 2008. Since 2008 was an environment not seen since the great depression, this anchoring to fear seems an unreasonable extreme to us, especially since our portfolios today are being constructed at a valuation of under 6.5 times the normal earnings power of the enterprises. Significantly below where we have constructed our portfolios over the long-term at an average of 8 to 10 times earnings. The expected return on the S&P 500 is now over 11% per annum versus a risk pre rate on US treasuries of about 3% based in part on the assumptions that companies will in fact be able to restore profitability to long-term nuance. And per our analysis, a devalue portfolio now offers expected returns in excess of 16% per year. what these numbers don’t tell you however is the quality of the business franchises we are finding today at attractive valuations. As fears of a slowdown drove economically sensitive sectors lower in May and June, leading companies exposed to the economic cycle became some of the cheapest names in our universe once again. Just to give you some examples, Sherwin-Williams. PPT Industries in the US and Akzo Nobel in the Netherlands, all leaders in the global paints and coatings industry became cheap due to fears about their exposure to the housing and industrial production cycles. Each company however is a product leader has remained profitable throughout the cycle, has a solid balance sheet and has shown an ability to improve results even in light of a slow economy. These are the types of companies we have been adding to our portfolios and are precisely the types of opportunities the value investors seeks to exploit during uncertain times. Now let’s take a few minutes to talk about our business. The increase uncertainty in the world affects not only valuation in the equity markets, but also causes individuals and institutions to shy away from the higher volatility asset classes. As such, the budding recovery that we were beginning to experience in the second half of 2009 and early 2010 has slowed. While there are some hopeful signs very recently, the majority of our potential client base is focused on volatility reduction. As such long-short and fixed income managers are the (inaudible) asset classes to show. While we believe this may prove to be short sited, it is clearly the direction that the markets are taking today. In our most recent report to our clients, we address the issue of volatility and reinforced our belief that volatility is the engine that creates opportunities for devalue managers like us. and while it is possible to eliminate the extremes in volatility without any performance penalty, it is very hard to make the case that paying the inevitable premium for excessive stability is a smart long-term financial decision. Although our revenues and operating income have flattened out, they remained significantly above last year’s levels. Our cash flow remains strong. We have now entirely repaid all of our debt and resumed the payment of our dividend. Our focus has turned to building for the future. We added two analysts this summer bringing our investment team to 23 individuals and are in the process of opening a sales and client service office in Australia, our first office beyond our New York City footprint. We continue to engage in discussions with potential launch clients for emerging markets strategy and are optimistic that once sentiment towards equities rebounce, we’ll see a breakthrough in this area. We are excited about the long-term opportunities for our business and investment strategy and continue to deliver a clear message to our clients, prospects and the consulting community. Equities are very attractive and quality is on sale. I’d now like to turn the discussion over to Greg Martin who will review our second quarter results.
Greg Martin: Thank you, Rich. I would like to start out by discussing our assets under management or AUM, our fee rates and revenues. Our total AUM during the second quarter of 2010 decreased 14.9% from the first quarter of 2010 to $13.1 billion. This $2.3 billion decrease is primarily attributable to $2 billion in market depreciation as well as some small net outflows. At June 30, 2010 the company’s $13.1 billion in AUM consisted of $10 billion in institutional accounts and $3.1 billion in retail accounts. During the second quarter of 2010 assets in institutional accounts shrink 14.5% due primarily to market depreciation and some small net outflows. Retail assets decreased 16.2% during the second quarter of 2010 again due largely to market depreciation and some small net outflows. Our second quarter 2010 revenues were $19.4 million, slightly up from last quarter and up 36.6% from last year. The year-over-year increase in revenues was due to an increase in average AUM partially offset by a decline in weighted average fee rates. Average AUM was $14.5 billion for the second quarter of 2010, similarly up slightly from the last quarter and up 45% from last year. Our weighted average fee rate was 53.3 basis points in the second quarter of 2010, roughly even with last quarter and down from 56.8 basis points last quarter. As noted before, the year-over-year decrease was due in part to the large institutional inflows in our newly launched EAFE Diversified Value and Global Diversified Value strategies that occurred at the end of 2009. Again, we typically offer reduced fee rates to initial clients on our new product offerings. The year-over-year weighted average fee rate also decreased in part due to an increase in the average size of the company’s institutional accounts. The company’s tiered fee schedules typically charged lower rates as account size increases. Institutional accounts comprised 76.3% of total AUM as of March 30, 2010 increasing from 76.0% as of March 31, 2010 and 70.8% as of June 30, 2009. The weighted average fee rate for institutional accounts was 58.5 basis points for the second quarter of 2010 down slightly from 59.4 basis points last quarter and declining from 65.1 basis points last year. The year-over-year decline in the institutional weighted average fee rate arose as a result of the institutional inflows in our EAFE Diversified Value and Global Diversified Value strategies and the higher institutional average account size I mentioned earlier. The weighted average fee rate for retail accounts increased to 37.1 basis points for the second quarter of 2010, from 34.1 basis points last quarter and from 36.7 basis points last year. The sequential and year-over-year increases were due to the timing of asset flows in our retail accounts and the exploration of the temporary, voluntary partial fee waiver on the John Hancock Classic Value Fund which ended in May 2010. Now let’s look at the remainder of the P&L. Our second quarter compensation expense was $7.3 million, down slightly from last quarter and up 21.7% in the second quarter of 2009. The year-over-year and sequential increases in compensation expense was driven largely by increases in our discretionary bonus accruals. General and administrative expenses were $2.2 million for the second quarter of 2010, up 15.8% from last quarter and up 10% from last year. The year-over-year and sequential increases in general and administrative expenses arose primarily as a result of increased research and marketing related travel. Operating margins were 51.4% for the second quarter of 2010 flat with last quarter. Operating margins were 44.1% for the second quarter of 2009. Our non-GAAP income statements adjust for certain valuation allowance and tax receivable agreement items. I will briefly discuss these adjustments at the conclusion of the financial discussion, but will focus my remaining marks on the non-GAAP information. Other income expense, net of outside interests was an expense of $0.6 million for the second quarter of 2010 and consisted primarily of losses associated with the performance of the company’s investments in its own products. Other income expense netted outside interests was income of $0.4 million last quarter and income of $1.2 million in the second quarter of last year. The year-over-year and sequential decreases in second quarter 2010 other income arose primarily as a result of less favorable performance of our investments slightly offset by a decrease in interest expense associated with the reduction of our outstanding debt. The effective tax rate for unincorporated business taxes was 6.6% for the second quarter of 2010, 6.0% for last quarter and 5.4% last year. The fluctuations in these effective tax rates are driven by certain expenses that are permanently nondeductible for UBT purposes. This rate varies from period-to-period, but should generally be between 5% and 7% on an ongoing basis. The allocation to the non-public members of our operating company represented 85.4% of the operating company’s net income for the second quarter of 2010. This allocation represented approximately 86.6% of the operating company’s net income for the first quarter of 2010 and the second quarter of 2009. The variance in the allocation percentages are the results of changes in the ownership interests of the company and the operating company. The effective tax rate for our corporate income taxes not including UBT was 42.7% for the second quarter of 2010, and 42.6% for last quarter and last year. We generally anticipate our corporate effective tax rate to be between 42% and 43% in the future. In the second quarter of 2010, we repaid the remaining $7.5 million of our outstanding debt. At quarter end, our total cash was $23.6 million and inclusive of approximately $2.1 million set aside to satisfy our deferred compensation obligations and approximately $0.1 million of cash held by our consolidated investment partnerships. Also our Board of Directors declared a cash dividend of $0.03 per share. As a result of the foregoing, we reported $0.08 of basic and diluted non-GAAP net income per share in the second quarter of 2010. Now I’d like to briefly walk through the valuation allowance and tax receivable adjustments, the net effect of which comprises the difference between our non-GAAP and GAAP results. For the second quarter of 2010, the company recognized a $1.4 million increase in its valuation allowance and a $1.1 million decrease in its liability towards selling and converting shareholders, due to revised estimates of future taxable income. We would expect on a quarterly basis to record adjustments to the valuation allowance and our liability to our selling and converting shareholders as we extend our projections out in future quarters. The ultimate amount of these adjustments will depend on our estimates of the future taxable income of the operating company and the level of our economic interest in it. Inclusive of the effect of the valuation in tax receivable agreement amounts I just discussed, we reported $0.05 of GAAP basic and diluted income per share in the second quarter of 2010. And now we would be happy to take any questions.
Operator: (Operator Instructions) Your first question will go to line of Alex Blostein from Goldman Sachs.
Alex Blostein – Goldman Sachs: Rich, I was hoping you could give us a little bit more color on the I guess institutional outflows this quarter, it looks like the gross sales number has slowed down, just got to consistent with your comments on kind of more risk adverse environment in the institutional channel, but there is also bit of a pickup in redemption. So was there anything specific to this quarter or this is just more a reflection of the environment, that’s my first question.
Rich Pzena: Yes, I think the environment is mostly reflected in the inflows rather than the outflows and the outflows are sort of consistent with the kind of standard number we get every quarter that reflects normal funding requirements of our clients and the changes that go on. There was no big item or no substantive item to report.
Alex Blostein – Goldman Sachs: Okay, and then I guess given the recent decline in the relative investment performance for you guys, especially across with some larger strategies. Is there any sort of oblique you can give us in terms of potential redemptions or any watch list items you could highlight it would be helpful.
Rich Pzena: Yes, I mean we don’t – I don’t believe on any real watch lists at this point in time. All of the performance issues that we have based in our history are mostly, – are mostly in the past. Even though the second quarter was below par our year-to-date numbers still put us in the top quartile and our one year number still put us in the top decile and our two year numbers are fine. So that’s really when you go onto watch lists, so I don’t – that’s not the issue for us. The issue is a combination that we still have the poor three and five year numbers in our record. The three starting to rolling off as we go through the second half of 2010 with a lot of it happening in the second – in the third and fourth quarters of 2010, combined with the market sort of sluggishness or skittishness about equities. So I don’t think the recent performance is something that we would be alarmed about. July is off to an okay start, I think it reflects the fact that we had a pause, we still had excess exposure into economically sensitive stocks and there was some temporary change in attitude towards that but as the companies are reporting their earnings and July is unfolding, some of that is reversing. So there isn’t a lot of near term performance issues that our existing clients are focused on, it’s quite the contrary, the meeting tones are off pretty positive with existing clients.
Alex Blostein – Goldman Sachs: Got it. Thanks for that. And then someone maybe just a little more granularity on the, I guess the composition of slope by strategy, the way you guys outlined US value, EPM global (ph) and then if you’re seeing any differentiation between US and non US in sort of risk appetite for your type of strategies.
Rich Pzena: Yes, I mean we’ve had a net share continuing share shift towards the non US strategies. Let me just see if I can, get our data for the quarter. So the net flows for the quarter were generally positive and our global value strategies and generally negative in the US value strategies. So the negatives which is really a continuation of what we’ve been seeing for the last few years. The client base is incrementally shifting to a non US client base, I’ll just say incrementally. The interest level for us outside the United States remains focused in Australia which is why we opened an office. This is a planned office. We have a lot of business in Australia and we had a sales person who has been with us for the last six months, an Australian native, spend six months here becoming integrated in our investment process and our portfolios. And that office was actually opened, is opening this week. So we have some pretty optimistic views of the future potential there as well in generally the English speaking countries within Europe that’s where we’re seeing most of the opportunity. And the US is sporadic hit or miss, that’s the way I would describe the environment.
Alex Blostein – Goldman Sachs: Got it. And Greg just one for you, on the G&A uptick you mentioned pickup in sort of marketing and travel, given the fact that the environment would be like slowdown obviously in the second quarter, but you guys are opening up an office in Australia. So is that fair to think that going forward we’re looking at little over $2 million a quarter or is there some place where you guys could set a pullback given the environment?
Greg Martin: I think right around $2 million a quarter is probably the right number. I think if you look in prior quarters, we didn’t do as much travel, so it was kind of abnormally low and I think we’re seeing a resumption of that rate now. So I would say in the ballpark of $2 million would be fair.
Alex Blostein – Goldman Sachs: Got it, fair enough. Thanks guys.
Operator: Okay. And our next question will go to the line of Larry Hedden from KBW.
Larry Hedden – Keefe, Bruyette & Woods: Good morning.
Rich Pzena: Good morning.
Larry Hedden – Keefe, Bruyette & Woods: Just in terms of capital management, now that you’ve repaid the senior notes, has there been any changes in your priorities going forward?
Rich Pzena: No, it’s we have been so focused on getting things back to normal, but we haven’t actually finalized plans for what we’re going to do going forward. Obviously if the earnings stay where they are, the cash flow is pretty strong and is exceeds our dividend. We’re unlikely engaged in stock repurchase since our flow remains pretty low. So there is lots of things we can do, we’re planning to address this issue with our Board over the course of second half of 2010. And once we come to any conclusions, we’ll share them with you.
Larry Hedden – Keefe, Bruyette & Woods: Right, I was thinking more in terms of I mean the operations specifically investments in distribution, you just opened the office, I guess your thoughts on funding fees investments?
Rich Pzena: Yes, I mean the company’s view on funding fees investments is been capital – it’s never been a scarce resource for us to be able to incubate and fund the products that we wanted to fund. We’ve done that throughout the cycle even when we were – we had a lot of debt on the books. And obviously if we haven’t needed that money we could have stepped into it but we didn’t expect to need it. So we’ve been incubating – continuing to incubate our emerging market strategies and at this point we don’t have any plans for new product until we see some signs that we have traction with emerging markets. So that will pretty much cover the global landscape for us on equities and we will be focused on trying to grow our existing products rather than doing a whole lot on the new side.
Larry Hedden – Keefe, Bruyette & Woods: Okay, and then just in terms of strategies, did you get any traction in the diversified strategies and given the increased focus on minimizing volatility, are you giving more interest in the diversified strategies or have you changed your message at all in terms of management (ph) strategies?
Rich Pzena: Yes, we have some pretty significant assets in those diversified strategies at this point. The interest that we get between – seems to be more based on the risk preferences of the individual client rather than we being at this point able to tell you there is very, very strong view one wear another. We are viewed as a volatile asset class even in our diversified strategies. They are less volatile but there are still equity like volatility. We have spent a lot of time and our most recent report to our clients really addressed the volatility issue where we did – our own pretty thorough analysis of the impact of volatility on performance that led us to make some minor changes to be extremely volatile securities we may have in our portfolio and we’ve been passing that message along to our clients in full force over the last three or four weeks. And it’s been pretty well received. So on a going forward basis, we believe we can actually take out some of the volatility that we’ve seen in our history and gallop down closer to market kind of levels of volatility without giving up in fact maybe even with enhancement of returns. And so our process has been modified to incorporate some additional input. But I wouldn’t call it a dramatic philosophical change in what we’re doing, I would call it a tweaking in our process.
Larry Hedden – Keefe, Bruyette & Woods: Okay, and in last conference call, I think you said that you expected a close the small cap strategy and it appears that it’s still open, has anything changed there?
Rich Pzena: Some of the funding that we thought would be coming in the second quarter didn’t come, so and perhaps our expectations were a little more optimistic about the – about how quickly that money would come in, especially given its performance record which doesn’t have any of the blemishes that we have in our large cap strategies, but it’s been slower. We still think we’ll close it but it will probably not be as fast as we had hoped. I guess I would still tell you that I hope that it will be true, it will be closed by the end of the year.
Larry Hedden – Keefe, Bruyette & Woods: Okay, great. Just one last one last question. You said that the RFP activity in the quarter had decreased significantly, but at this point how would you characterize the pipeline if in terms of either positive or a negative development?
Rich Pzena: Well the pipeline, when you define the pipeline to include all the activity that you’ve been – that we’ve been contacted about, it still is robust and so it’s not like there has been massive decline and search activity. There just appears to have been a slowdown in decision making in the second quarter triggered by market activity. So I can’t tell you that when we add up the numbers it doesn’t look any different than where it looked at the first quarter. So neither big positive nor big negative developments. But the activity on that pipeline for sure has slowed down.
Larry Hedden – Keefe, Bruyette & Woods: Okay, great. That was all of my questions. Thank you.
Operator: (Operator Instructions) Your next question will go to the line of Ken Worthington from JPMorgan.
Ken Worthington – JPMorgan: Hi good morning. First you added a couple of analysts this quarter, I assume those are new positions, if they are in fact new, what are you having those analysts focus on. Is it the global side of the business, the US, I know you have a lot of generalists but any more information will be helpful.
Rich Pzena: Sure, first of all the analyst that we added were are basically at entry kind of level positions and they were added to beef up our coverage of emerging markets, even though they’re not specifically covering emerging markets. We don’t really have any – we have almost no geographical or product specific assignments for analysts, we have industry assignments and sectoral assignments. So as we bring more people in, we offload some of the work of the existing analysts on to the new people and allow the geographic coverage to expand and the sectoral coverage to narrow. And that’s the way we’re doing it this time as well. But the impetus for this is to be fully staffed to be able to support our emerging market strategy.
Ken Worthington – JPMorgan: Okay. And they were – these are replacing like analyst kind of come and go, I assume that these are – it was – this represents an expansion of your research capability, you’re not replacing people who left, (inaudible), okay.
Rich Pzena: It is a pure expansion.
Ken Worthington – JPMorgan: Perfect. Thank you. And then secondly, you gave us some anecdotal color on finding value in the market, could you flush that out more, where else are you finding value, you said you’re finding a lot of value given the valuation levels of the overall market. where else outside of the Sherwin-Williams of the world are you investing?
Rich Pzena: Well the cheapest sector remains as we said in the financial services. Financial companies are one of the only sectors that where the earnings have not rebounded back to that normal levels as we continue to flush out the bad assets that were on the balance sheets, but the franchises of these institutions have demonstrated their sustaining strength and as valuation focus switches from balance sheet to franchise value over the course of the foreseeable future – next couple of years I think there is tremendous mis-valuation and in fact when we look at financials as a whole we see valuations in the five to six times the normal run rate of earnings, one’s earnings get back to levels where they should be. And so there is no other sector that looks as cheap as financial services. Second, there has been a big, big pull back in the second quarter across the board in cyclicals including consumer cyclicals, industrial cyclicals so we see housing related industrial cyclicals consumer cyclicals and then we see in sort of just out of favor areas like defense. So and I guess I’ll add to that that there are some budding interesting opportunities in energy. So these are pretty broad spectrum of opportunity. For a while when thing before this pull back in the market you were starting to get to the point where some of the even more stable kind of traditionally high quality companies were looking cheap, but now that the market pulled back and didn’t pulled back very much for those kinds of companies, they’re back off the table and its very much companies that have economic sensitivity.
Ken Worthington – JPMorgan: Perfect, that was very helpful.
Operator: Okay and your next question will go to the line of Campbell Anthony from Macquarie.
Campbell Anthony – Macquarie: Yes, hey Rich, in the market recently, I guess we’ve seen a decline in the PE ratio of and the market as a whole in a lot of sectors in particular. And so generally people describe that’s either decrease in growth expectations or common increase in volatility. Where do you think that is and then on the growth side, what do you think the markets building in and what are you building in?
Rich Pzena: Well I don’t, I think both of those factors that you mentioned contributed to PE expansion, its fear about, if you increase volatility for sure I think that’s probably the biggest factor. The change in growth expectations I think are generally modest, I mean we’d like to be – we all like to sit here being macroeconomic forecasters but the reality is the expectations for long-term global GDP growth which may have been 4% a year, or 4.5% a year is now 3% or 3.5% a year. hardly something that you could notice differentially in companies revenues. Certainly the companies can’t distinguish between 4.5% and 3.5% growth rates. so keep – so this view of broad economic slowdown creating major PE contraction, that’s the top one for me to get my hands around. We use, all we use is – we don’t do anything particularly insightful other than using estimate of nominal GDP growth in building our forecast and that’s – that estimate doesn’t change very much. We use something like 5% to 6% a year long-term revenue growth for the S&P 500, not very different from what we had used before when we come with our expected return expectations.
Campbell Anthony – Macquarie: Okay, that’s helpful and then in the financial sector what’s base within financials to you favor?
Rich Pzena: It’s everywhere, so it’s still balance sheets sensitive companies, so its credit sensitive companies. So I would say banks, I would say the cheap areas are commercial banks, the investment banks and brokers and trading firms. Life insurance and property casualty insurance, I don’t know I’m probably naming every sector there is, so I don’t know if that’s very helpful.
Campbell Anthony – Macquarie: Everything except that for management I think. Thanks. Thanks for your question (ph).
Rich Pzena: Sure.
Operator: And at this time, there are no further questions in the queue.
Rich Pzena: Okay.
Greg Martin: Thank you all for joining us in today’s call.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.